Operator: Good afternoon. My name is Abbie, and I will be your conference operator today. At this time, I would like to welcome everyone to the Viad Corp's First Quarter 2023 Earnings Conference Call. [Operator Instructions] Carrie Long, you may begin your conference.
Carrie Long: Good afternoon, and thank you for joining us for Viad's 2023 first quarter earnings conference call. We issued our earnings press release after market closed today, along with an earnings presentation both of which are available on our website at viad.com. We will be referencing specific pages from the presentation during the call as we discuss our business performance and outlook. I would also like to point out that our earnings press release and presentation contain important disclosures regarding non-GAAP measures that we will be referring during the call, including adjusted EBITDA and net income or loss before other items.  During the call, you will hear from Steve Moster, our President and CEO and President of GES; Ellen Ingersoll, our Chief Financial Officer; and David Barry, President of Pursuit. Before turning the call over to Steve, I want to remind everyone that certain statements made during the call, which are not historical facts, may constitute forward-looking statements. Information concerning business and other risk factors that could cause actual results to materially differ from those in the forward-looking statements can be found in our annual, quarterly and other current reports filed with the SEC. And with that, I will turn the call over to Steve to hit on some highlights of the quarter starting on page 4 of our presentation.
Steve Moster: Good afternoon, and thank you for joining us to review what was a very strong first quarter across our businesses. I'm very happy to report that both GES and Pursuit performed above the high end of our guidance ranges based on strong fundamentals in the businesses. We have strong momentum in each business heading into the rest of the year and we are raising our full year guidance. After nearly three years of travel restrictions we're seeing pent up demand for face-to-face corporate meetings, and a trend where consumers are prioritizing leisure travel. Every indicator I see at GES and Pursuit points to continued strength. Pursuit's lodging booking pace for the balance of 2023 is stronger than the pace in 2022 and 2019 at the same time in the year and particularly strong in the Vance, Jasper collection. As we expected, the elimination of travel restrictions and the accelerating international leisure travel are driving the demand for experiences across our portfolio. Additionally, GES continues to see same show revenue above 90% of 2019 levels and strong corporate spending for experiential marketing. As shares continue to grow GES is in a great position to leverage its lower cost structure and drive higher profitability. Based on our first quarter performance in the momentum we're carrying into the rest of the year I feel confident in raising GES's full year guidance. We're experiencing some tailwind and the team is excited about delivering a strong year. Ellen will give more details on guidance later in the call. And now I'd like to turn the call over to Ellen to discuss our first quarter financial performance in more detail. Ellen?
Ellen Ingersoll: Thanks Steve. As shown on page 6 we delivered consolidated revenue of 260.8 million during the first quarter. This is up 47% or 83.4 million year-over-year driven primarily by strengthening demand for exhibitions and events and higher international tourism into western Canada and Iceland. Net loss attributable to be improved by $8.1 million to a loss of 20.9 million. Our loss before other items was 22 million as compared to a loss of 27.3 million in the '22 first quarter, primarily reflecting higher adjusted EBITDA partially offset by higher interest expense and a lower tax benefit. Our consolidated adjusted EBITDA was 3.4 million, which is 14.7 million better than the '22 first quarter and also meaningfully better than our prior guidance. GES adjusted EBITDA exceeded the high end of our prior guidance range by about 5.7 million driven by stronger than expected revenue. Pursuit also slightly exceeded the high end of guidance during the seasonally slow quarter.  As shown on page 7, we saw significant growth in revenue and improved adjusted EBITDA at both Pursuit and GES versus 2022 as we continue to see strengthening demand within our markets. Pursuit's , first quarter revenue grew 37.3% to 32.7 million. Pursuit's adjusted EBITDA was negative 10.3 million during the seasonally slow quarter, which is an improvement of 1.2 million year-over-year on the higher revenue. This stronger year-over-year performance reflects improved international visitation at [indiscernible] our year round Canadian experiences and our flyover locations. At GES overall revenue grew 48.5% to 220.1 million as demand for exhibitions and experiential marketing continued to strengthen. Adjusted EBITDA improved to 16.7 million which is up 14 million from the 2022 first quarter and GES delivered an overall adjusted EBITDA margin of 7.3% on its lower cost structure.  Next, I'll quickly cover some balance sheet and cash flow items before David and Steve dive more deeply into business highlights. Our cash flow from operations during the quarter was an inflow of approximately $10 million. Our capital expenditures totaled about $11 million and included growth CapEx for the flyover Chicago build project and some refresh projects at Pyramid Lake Resort. We ended the first quarter with total liquidity of 139.9 million comprising 50.8 million in cash and approximately 89 million of capacity available on our revolving credit facility. Our debt totaled approximately 478 million including 394 million on our term loan fee, financing lease obligations of approximately 65 million, a $12.4 million construction loan to help fund the development of the Forest Park Hotel and other debt of approximately $7 million. During the quarter, we took some actions to protect our balance sheet in light of the higher interest rate environment. We entered into an interest rate cap agreement to hedge our exposure on 300 million of our floating rate term loan fee. And we amended the interest coverage ratio applicable to our revolving credit facility to provide additional cushion for compliance through the duration of the facility. Additional balance sheet and cash flow details can be found in the appendix of our earnings presentation.  And now I'll turn the call over to David to discuss Pursuit. 
David Barry: Thanks, Ellen. During the last earnings call, I shared three areas of focus for Pursuit during 2023; revenue growth, margin expansion and winning the war for talent. Today, I'm happy to report that we're performing very well against all three. Pursuit delivered a very strong start to the 2023 year with record first quarter revenue and improve year-over-year margins. And we're super pleased with the performance of our year round experiences during the quarter and the improved demand from international visitors which we believe affirms our outlook for very strong year-over-year revenue and margin growth over the balance of '23. I'm also pleased to report that we continue to succeed in the war for talent. Staffing levels for 2023 are light years ahead of where we've been with each of our major geographies now very close to fully staffed and ready to serve guests in the peak summer season. So let's dive into our first quarter financial performance. Page 9, the accompanying DAC illustrates our first quarter results and the benefits of Pursuit's refresh built by growth strategy. Overall Q1 revenue increased 37% from 2022 as international leisure travel to our markets continues to accelerate and our new experiences continue to gain momentum. The lifting of COVID restrictions and strong consumer demand for high quality hospitality experiences is fueling a significant increase in visitation all across Pursuit. Visitation volume is directly correlated to EBITDA margin. And with guest volume increasing materially Pursuit's Q1 adjusted EBITDA margin also improved year-over-year. The new year round experiences that we've opened or acquired from 2019 through 2022 collectively delivered more than half of Pursuit's 2023 first quarter revenue with a very strong year-over-year growth rate of 47% driven primarily by an acceleration of attraction visitation. Same store revenue from experiences that we are operating within Pursuit, prior to 2019 also experienced significant year-over-year growth of about 28%. And on a same store basis versus 2019 Pursuit's first quarter revenue grew 48% as the refresh investments we've made growth gains and guest satisfaction, increased visitation, pricing power and ancillary revenue growth. Page 10 in the slides covers our Q1 attractions performance. There's a lot of great information on this page, but I'd like to call out a few important highlights. First is the 56% year-over-year growth we realized in visitors to the new year round experiences we've opened from 2019 forward. Our strongest growth came from Sky Laguna and Iceland, which posted a 74% increase in visitors versus the '22 quarter. We're extremely pleased with how this attraction is performing and growing. Visitation growth at our new flyover locations is also very strong. Flyover Iceland visitors grew 47% and flyover Las Vegas visitors grew 42% from the 2022 first quarter. International travel to Iceland is improving, and our world class attractions they're capitalizing on that trend. We anticipate that inbound airline routes in Iceland service by Iceland air play airlines in the major international carriers will meet or exceed 2019 levels this year. And that should help drive continued growth and both fly over Iceland and Sky Lagoon. At FlyOver Las Vegas our work to secure partnerships with the major Las Vegas ticket distribution platforms is paying dividends. Additionally, we're driving increased guest awareness through partnerships with the Las Vegas Golden Knights and others, including an exciting album release we recently did for the Jonas Brothers. I also want to highlight our strong same store attraction visitor growth of 26% year-over-year and 25% from 2019 driven by our year round attractions in Western Canada Flyover Canada and the Banff Gondola. Flyover Canada and Vancouver I'm happy to report that first quarter visitation had nearly recovered to the pre-pandemic levels experienced in the 2019 first quarter. The Port of Vancouver anticipates a record number of cruise arrivals and passengers to travel through the Canada place terminal in 2023. And our Flyover Canada traction is uniquely positioned to capitalize on that increases visitation. At the Banff Gondola visitors were also up significantly year-over-year and as compared to 2019. This growth reflects strengthening international tourism and our launch of the night rise winter experience at the top of the Gondola that is drawing increased visitors during this otherwise slower period. And finally, relating to attractions performance, we've been successful driving higher effective ticket prices both year-over-year and versus 2019 on the quality of our experiences.  So now I'll turn my attention to our lodging properties which are referenced on page 11 of earnings presentation. Q1 rooms revenue of 7.6 million grew 10% from 2022 driven by a 6% increase in occupancy and by an increase in available rooms with the new Alpine wing of the Forest Park Hotel that opened in Jasper in mid '22. Same star RevPAR grew 26% year-over-year driven primarily by stronger occupancy at our Banff hotels as international visitation to Western Canada improved. As compared to 2019 first quarter rooms revenue more than tripled, driven by our investments to expand and improve our hotel portfolio. And moving on to our ancillary revenue streams, we saw solid revenue growth as we capitalize on the integration of packaging food and beverage, retail and transportation experiences with our attractions and lodging lines of business. Relative to the same period in 2022, retail revenue increased 57%, transportation revenue increased 65% and food and beverage revenue grew by 44%. So now I will provide you a brief update on our outlook for the year ahead. We're very encouraged by our own booking pace and by the strong trends in consumer demand for high quality leisure travel experiences that we're seeing broadly around the world. Attractions, ticketing revenue in Banff and Jasper is pacing 25% ahead of 2022. And with renewed use of border crossings into Canada, we remain confident that we'll reach our target of achieving same store attraction visits of at least 95% of 2019 levels. Our revenue management and operating teams are hard at work executing on strategies for regaining pre-pandemic visitation volumes at those locations that were more dependent on long haul international visitors. And I'm pleased with the progress we're making against those initiatives. As shown on page 12, our lodging bookings for 2023 are pacing very well and support our outlook for a much stronger year. Hotel booking pace is particularly strong in Banff and Jasper, which are accelerating with the removal of COVID restrictions, testing and quarantine risk. 2022 was a record season for lodging in Alaska and Montana and we're pleased to report these markets both continue to pay strongly into '23 as we maintain very high levels of sales and occupancy across both geographies,  Pursuit's business is built such that profitability grows materially with incremental increases in attractions visitation. With guests now able to enter Western Canada and Iceland seamlessly and without restrictions we're confident that increased visitation will drive a material year-over-year increase in EBITDA margin and keep us on track to achieve 30% plus levels by 2024, and in the years ahead. So in closing we're pleased with our first quarter results and we're confident in the momentum we have heading into summer. We see some cracks in the armor and are confident that our targets for 2023 are well within reach. Just want to thank our operating and support teams around the world for helping deliver such a great quarter, and to everyone for all the energy and effort in preparing for the busy times ahead. Steve, back to you. 
Steve Moster: Thanks, David. Now, let me switch gears and provide some insight into the GES business which includes both GES exhibitions and our experiential marketing agency Spiro. Overall, I'm pleased with GES's performance in the first quarter, and a strong start to 2023. During the first quarter GES performed better than expected on stronger than anticipated revenue growth. And I'm pleased to say that based on our first quarter performance and our outlook, we're raising our full year guidance for GES. We'd now expect 2023 adjusted EBITDA to be in the range of $52 million to $60 million, versus our prior guidance of $48 million to $58 million. The raise reflects our over performance in the quarter partially offset by the cancellation of E3, a major gaming event in the second quarter.  Page 14 of our earnings presentation highlights the strong year-over-year growth in GES's consolidated revenue, and the significant improvement in EBITDA and margin. During the first quarter GES delivered $228.1 million in revenue, up 74.6 million over Q1 of 2022 and $16.7 million in EBITDA of $14 million over the first quarter of 2022. The top line growth in the first quarter was driven by Spiro growth of 41% and GES exhibition growth of 52%. As a reminder, the first quarter of 2022 was negatively impacted by event postponements due to the resurgence of the Omicron variant of COVID-19. Our overall profitability was strong at greater than 7% margin and the flow through to EBITDA on the year-over-year, incremental revenue was nearly 20%. Our efforts to improve the cost structure within exhibitions and to drive profitable growth at Spiro from new client wins and increased spending from existing clients are yielding great results. This is clear when you look at the first quarter compared to 2019. Adjusted EBITDA improved $5.8 million on lower revenue indicating that our lower and more variable cost structure and the pruning of less profitable business are paying off.  Now I'd like to discuss the first quarter at Spiro; our experiential marketing agency, which serves as the agency of record for a great roster of Fortune 1000 corporate clients. During the first quarter Spiro delivered $60.4 million in revenue and $3.7 million in EBITDA for EBITDA margin of 6.2% as seen on page 15. Spiro continues to see strong spending from its corporate clients with marketing budgets approaching 2019 levels, as well as new client wins. Over the past year, I've talked about GES's investment in Spiro to build out new capabilities, which would enable Spiro to become a leading global experiential marketing agency. Spiro has an opportunity to generate growth by expanding the range of marketing services that we sell to our existing clients and by winning new clients to drive greater market share within this large and fragmented industry. On past calls, I've highlighted a few of those client wins like JP Morgan, Dentsply Sirona, and John Deere. And I'm happy to report that Spiro continued its winning trend in 2023 with seven new client wins year-to-date, including McDonald's 2024 worldwide convention. This premiere event will be held in Barcelona, Spain. It's one of McDonald's largest events, and is expected to attract over 10,000 McDonald's owners and operators from around the world. I'm very proud of our team and happy to see the benefits of our investment strategy.  Next, I'd like to talk a little bit about the performance at GES exhibitions which provides tradeshow services to leading event organizers in North America, Europe and the United Arab Emirates. During the first quarter GES exhibitions delivered $169.5 million in revenue and $13 million in EBITDA for an EBITDA margin of 7.7% as seen on page 16. As compared to the first quarter of 2022 revenue grew nearly $58 million as we continue to see larger show sizes and a return to a more normal show schedule in the absence of COVID disruptions. Roughly $15 million of the year-over-year revenue growth was attributable to events that were postponed in the first quarter of 2022. Additionally, GES's same show revenue from us exhibitions produced during the quarter grew 26.4% year-over-year and reached 91% of 2019 levels. GES's exhibitions first quarter adjusted EBITDA improved by $11 million year-over-year, and by 4 million as compared to 2019. The strong profitability is attributed to the significant cost structure changes made over the past three years. Prior to the pandemic GES's ambitions outlined a multiyear lean operation strategy to drive significant costs out of the business and to provide the business more flexibility and improved cash flow. The team took advantage of the pandemic to accelerate the strategy and reduced our SG&A costs by more than $50 million through the reduction of our headcount and our facility footprint. However, our lean operations journey did not end as revenue returned. The lean projects that the GES team worked on in 2022 are starting to pay dividends in 2023 and I'm very encouraged that the team consistently finds new opportunities to help offset higher wages and supply chain challenges. We still have more to come in our transformational efforts and I look forward to sharing more progress through the year.  Before I hand the call over to Ellen, I want to reiterate the momentum we're seeing in the GES business. Our first quarter performance reflects the pent up demand for meeting clients face-to-face and the value proposition that trade shows and other similar events provide. The level of same show revenue growth and continued recovery that we've seen is very encouraging. But the upside from full recovery is even greater than that remaining 9% to hit 2019 levels. As shown on page 17 show sizes are still about 20% below pre-pandemic levels as smaller exhibitors and international exhibitors have yet to return in full. We believe this recovery will come within the next couple of years and when it does, we should see strong flow through from those incremental revenue dollars. Our teams are focused on improving financial performance with strong execution and lean cost savings in exhibitions while driving new corporate marketing winnings at Spiro.  And now I'll turn the call over to Ellen to review our financial outlook. 
Ellen Ingersoll: Thanks, Steve. Before covering our second quarter guidance, I want to provide some updates on our full year outlook which is shown on page 19. We now expect consolidated adjusted EBITDA to be in the range of $124 million to $141 million versus our prior guidance of $120 million to $139 million and 116.1 million in 2022. As Steve mentioned earlier, the increase in our guidance range is based on significantly stronger than expected growth at GES that we experienced during the first quarter. We are not adjusting full year guidance for Pursuit this time, given the most critical months of the year are still ahead of us. However, the strong Q1 performance and pacing that we're seeing, there's more room for upside performance than downside risk relative to our full year guidance for Pursuit. Along with the improvement to our adjusted EBITDA guidance, we're also raising our expectations for full year cash flow from operations. We now expect an inflow of $70 million to $80 million as compared to prior guidance of $65 million to $75 million. Additionally, we have reduced our full year capital expenditure outlook to reflect the revised timing of select refresh build by growth investments at Pursuit. We now expect full year capital expenditures to be in the range of $70 million to $75 million, including approximately $35 million of growth CapEx. The growth CapEx is primarily related to the Flyover Chicago build, and refresh investments at Pyramid Lake Resort in Jasper.  Now turning to the second quarter guidance which is outlined on page 20 we expect consolidated results to be below the second quarter of 2022 driven largely by changes in the GES business including the sale of on services. The impact of shows shifting back to their normal Q1 timing after being postponed into Q2 last year and some other non-recurring business partially offset by causative show rotation. For GES we expect second quarter revenue to be in the range of $200 million to $220 million as compared to 241.6 million in 2022. GES's second quarter adjusted EBITDA is expected to be in the range of $20 million to $24 million, which reflects a healthy margin of about 10%. We expect continued growth at Pursuit to partially offset the lower year-over-year results at GES. For Pursuit we anticipate second quarter revenue to be in the range of $89 million to $93 million as compared to 77.6 million in 2022. Pursuit second quarter adjusted EBITDA is expected to be in the range of $19 million to $22 million with healthy margins follow through on the revenue growth. Regarding cash flows, we expect an operating cash inflow of $15 million to $20 million during the quarter and capital expenditures of $25 million to $30 million including growth CapEx of about $13 million.  Before turning the call back to Steve for some concluding remarks, I want to reiterate our favorable outlook for 2023 with no signs of slowing consumer demand in either of our businesses. We have meaningful tailwinds that Pursuit and a leaner cost structure at GES. With that backdrop, we're comfortable with our planned level of capital spending. However, we stand ready to make adjustments to both capital and operating expenses should the need arise.  With that back to you, Steve. 
Steve Moster: Thanks, Ellen. We're off to a great start in 2023, and are very optimistic about what lies ahead. GES continues to see positive momentum in the live event sector and Pursuit is seeing ongoing acceleration of international visitation and growth across its experiences. We expect this positive momentum to continue throughout 2023 and as we look further ahead to 2024, we expect strong tailwinds for both Pursuit and GES. Pursuit to see a more fulsome recovery of long haul international travel trade visitation, the continued ramping of our new experiences, and the opening a Flyerover in Chicago. This increased visitation should drive strong top line growth and margin expansion in 2024. GES will see positive show rotation of approximately $70 million in revenue, and an anticipated full recovery of show sizes and corporate clients marketing budgets. Along with this higher level of revenue, we expect that GES will reach its target of greater than 8% adjusted EBITDA margin in 2024. Our actions to scale Pursuit transformed GES exhibitions cost structure, and strength in Spiro's capabilities are positioning us for strong growth in revenue and profitability. We remain committed to our strategy to create extraordinary experiences and strong returns for our shareholders.  I want to thank our hardworking and dedicated employees and our shareholders for your continued support in Viad. And with that will open up a call for questions.
Operator: [Operator Instructions] Your first question comes from the line of Tyler Batory from Oppenheimer. Your line is open. 
Tyler Batory: Hey, good afternoon. Thanks for taking my questions here. First one for me Spiro, not seeing any signs of a slowdown, which is good. I mean, how much visibility do you have into that business especially for the rest of the year? And what's your exposure to the tech sector? And what are some of your corporate clients within that sector specifically telling you? 
Ellen Ingersoll: Yes. That's a good question, Tyler, thanks. We have pretty good visibility into the Spiro events, probably nine months to a year before they occur that they are usually calendered and they have a venue already picked out and they start working with us kind of in the 12 to 9 month range before the event. And so pretty good visibility into the back half of this year. And your question specifically around exposure to technology, historically, we've done several kind of user conferences for technology clients. At this time we continue to produce those and haven't seen any impact from some of the headlines that you've seen across the news recently. So, from what we see it's straightforward and we're ready to produce these events. 
Tyler Batory: Okay, great. And I think one of the pleasant surprises was the margin performance at GES. Can you just talk a little bit about that? I know that obviously higher revenue contributed to that. Some of the changes that you've mean as well, but just trying to get a good full understanding in terms of why the margin was so much better than you had originally guided previously. 
A - : I'll talk a little bit about the quarter both in terms of revenue and margin. From a quarter perspective, obviously came in stronger revenue wise than we had expected. That's partially due to some new wins that we had within the quarter. But then also, quite honestly, just much faster recovery of some of these events in the first quarter. And remember, they didn't, some of the events didn't take place in 2022 because of the Omicron variant. And so they came back much stronger than we had expected. So that kind of speaks to the top line portion. In terms of, the margin as revenue comes through, we're seeing very good flow through a lot of that is due to the ongoing cost structure efforts that we have. I mentioned over the last several years, we've done a lot in terms of the cost structure, but we continue to find new opportunities to change the cost structure. And so some of the things that we were working on last year, towards the end of last year are starting to have an impact into the quarter this year. So we're pretty excited about what we're seeing. And that gives us good momentum as we're headed into the back half of the year. 
Tyler Batory: Okay, excellent. Switching gears to the Pursuit side of things, and you gave some pacing statistics, in terms of Banff, Jasper, just interested if you can give a little more detail, kind of what you're seeing, bookings, etc we start to look at them the peak summer season, June July here. 
Steve Moster: Yes. Thanks [indiscernible]. The pacing is strong, and it's strong across the board. So in every geography really from June onwards, pacing is performing very well. So strong in Banff, strong in Jasper. And then remember that Alaska and Montana both had record years in '22. And so my concern was perhaps would we see some reduction of that, because they were such strong years in '22. And we're seeing the opposite. It's a heavy maintaining of the performance in those two geographies and so all in all, it looks very, very strong for the year. 
Tyler Batory: Okay. And I think the last one, for me the comment on reducing the CapEx Pursuit some change in the timing of certain projects. Can you explain that a little bit more please? 
Steve Moster: Yes. Certain projects just through their entitlement process, taking longer variety of things. So it's nothing significant or dramatic. It's more just timing. And so again, as we look, it's beneficial to make those decisions early, because then teams can focus on what they can execute, if we're experiencing a delay with a regulatory authority and so on. 
Tyler Batory: Okay, great. That's all for me. Thank you. 
Steve Moster: Thank you. 
Operator: Your next question comes from a line of Kartik Mehta from Northcoast Research. Your line is open. 
Kartik Mehta: Hey, good evening, Steve, just on the GES business you're I think you back to 91%, pre-COVID levels. And you said kind of international and small sales haven't come back. So if you look, is it just isolated to those two events that's truly preventing you from getting to 100% or are there other things in the business that you see that might prevent you to get to that 100% pre-COVID levels. 
Steve Moster: Yes. To be clear from a revenue perspective, we're seeing things about 90% or a little bit greater than 90% of 2019. From a square footage perspective, we're only seeing about 80% of 2019 levels. And so obviously, the difference is the price increases that we've had over the last couple of years. In terms of getting back to 100%, in terms of the square footage a lot of that will depend on smaller exhibitors and the international exhibiting companies coming back into the events. That has been the largest component that has been missing over 2022. And even in the first quarter of this year. So those are the two pieces that need to come back. And as they do come back, obviously our cost structure would more or less remain the same. And so you'd have pretty strong flow through on that incremental revenue. 
Kartik Mehta: And if we were, if you started seeing an impact on the economy, what part of the business gets hit first? Is it the traditional GES business? Would you think it'd be the corporate events business? 
Steve Moster: Well, first, let me start by saying I don't see that happening. From what I've seen in the first quarter, and what I have seen so far, to where we are now I don't see any signs of that. Typically, both the corporate clients and the exhibitors that would attend a trade show are making commitments for those events pretty far in advance. And so Karthik, what I would say is very similar to what we saw in kind of 2008, 2009, there was a lag between when the rest of the economy started seeing signals. And when we actually saw any impact. It was anywhere from a six to a nine month delay just given the commitment that had already been made in advance. 
Kartik Mehta: Perfect. And just one last one on Pursuit. Obviously, it sounds like you're seeing very good demand for the summer season. I'm wondering at least from an early booking standpoint, what you're seeing in terms of price improvement, as far as room rates are concerned. 
Steve Moster: I mean, we're seeing solid increases in, we have the ability to move price in a variety of categories. What's driving it is demand. The other is other industries are concerned, or maybe we're concerned with they’re going to be some sort of trade down where people were seeking less expensive pricing and so on, we're seeing the opposite. We're seeing super high demand for our higher end experiences, and that demand continues. So then we price really dynamically Karthik. So we're moving price all the time, depending on the day of the week, and the week of the month, and so on. But we're quite focused on it. And we expect to see strong performance as we go through. We're running 18% ahead on pacing for Banff and Jasper. And then the other two geographies in Glacier and Alaska, are maintaining their very strong demand from '22. So we're in a good spot. 
Kartik Mehta: Perfect, thank you very much. Appreciate it. 
Operator: Your next question comes from the line of Bryan Maher from B. Riley Securities. Your line is open.
Bryan Mahers: Great, good afternoon. And really quite a good quarter. We were pretty pleasantly surprised. So good job there. And maybe you could share with us the day of the week that we should be booking where we're going to get the better pricing that would be helpful also. 
Steve Moster: [indiscernible].
Bryan Mahers: Moving on to questions visitations from Asia it's kind of a big topic the last couple of conference calls. As we sit here in early May, has your view as to how robust that increase would be in for 2023 changed at all since we last spoke on the earnings call. 
Steve Moster: When we last spoke, we talked about demand for '23 and just remembering that China came out of the pandemic later, and then all of a sudden, and so one of the challenges is airlift from Asia to North America. And the second challenge is getting an exit Visa so you can leave Mainland China to go somewhere. So as we mentioned in the previous call our expectations are quite low for '23 from that market because of the timing. But what we're very encouraged with is the demand for '24. '25 and '26. So like the retail industry people are buying a season ahead. And so our tour and travel partners across the world are blocking and contracting for space now in '24 and '25 and '26. And we see the demand returning, and it will return all at once. It'll be somewhat dependent on airlift. But we see a progressive return over the two years really '24 and '25, and are quite encouraged with the demand that we're seeing. 
Bryan Mahers: Great. And then moving on to Flyover Chicago construction, can you give us a little bit more granularity as to how that's going? And is there an opening date or quarter at least? And is there any update on Toronto? 
Steve Moster: I'll start with Chicago. So the construction is going terrifically. We're going to be opening in March of 2024 and so we're on track for a great opening. And the team's really encouraged. In Toronto, we're working our way through the process of entitlements and approvals. We have good dialogue with the City of Toronto. It's just an unfortunate timing on their part, as we work our way through and then once we're through, we'll take a good look at everything and decide how we want to talk about timing and future and so on, because, again, we're still working our way through the process. 
Bryan Mahers: Okay, and then outside of those, I'm sure that there's projects that you guys have in mind that you've maybe haven't shared with the investment community yet. But is there anything going on that you're thinking about as it relates to the potential for economic weakness, maybe in the back half of this year that could change your view on capital spend maybe late 2023 and certainly into 2024? 
Steve Moster: I'll jump in and answer that and tell me if I've missed anything. But your first part of the question, we're always on the hunt for great new growth projects, but I can't really talk about those till they turn into something that's real. And so where we are focused is we're going to double down on existing high performing and well instrumented businesses that could benefit either from additional capacity or from a refresh project. And think of things adjacent to the core of the existing business that we have opportunity. A great example is our whole companies are right about the things where we have such demand that adding capacity is something that's very doable. There's not integration risks, the businesses are well set up and well organized. And so it's a very risk free way to do that and gives us a high degree of confidence in investment returns. So heavy focus on refresh as we go forward. And what was the second part of your question? 
Bryan Mahers: Just if anything that's going on in the economy that would maybe push back or change your view on what you were thinking capital wise over the next 12 to 18 months? Or are you just plowing ahead with what was already on your plate? 
Steve Moster: I think we're being focused on the things that we can do and carefully. But we see no dents in the armor. We see no slowly, we see no lack of demand and we see the opposite. Ellen, I'm sure you've got something to add to that. 
Ellen Ingersoll: No, I don't, exactly what you said. I mean, we are seeing anything deviate from plan right now, on either side of the business. 
Steve Moster: But Bryan as if there are market changes down the road, we will adjust, as we always do to any external forces that are happening on us. But I want to reiterate what David and Alan just said, which is right now, we don't see any signs of that. But obviously, we will react if something happens. 
Bryan Mahers: Okay, and then just last from me from some of the lodging companies that we cover that have big box group hotels, they're seeing increased spend as they get closer to the event. So XYZ company signs on for an event, if their budget is Y then within weeks or even maybe at the time of the event it goes to Y plus 20%. Are you seeing at GES people kind of upsizing their spend as you get closer to the event?
Steve Moster: We are seeing Bryan, we are seeing that the spending habits are moving closer to the event, meaning in the past, people would make decisions further out. We're seeing those decisions made by the exhibitors closer into the event. And we see some signs, obviously, of larger events. We saw that through the last several quarters where we've had pretty good revenue growth versus 2019. 
Bryan Mahers: Okay, thank you. That's all for me. 
Steve Moster: Thank you. 
Operator: There are no further questions at this time. Steve Moster I turn the call back over to you. 
Steve Moster: I appreciate it. Thank you so much. And thanks everybody for your time. We look forward to talking to you next quarter. Thanks. 
Operator: This concludes today's conference call. You may now disconnect.